Operator: Good day and welcome to the KNOT Offshore Q4 Earnings Conference Call. All participants will be in a listen-only mode. [Operator Instructions] After today's presentation, there will be an opportunity to ask questions. [Operator Instructions] Please note, this event is being recorded. I would now like to turn the conference over to Gary Chapman. Please go ahead.
Gary Chapman: Thank you and welcome everybody to our fourth quarter earnings call. You can find our earnings release and this presentation on our website at knotoffshorepartners.com. Our call today includes non-U.S. GAAP measures of distributable cash flow and adjusted earnings before interest, tax, depreciation and amortization, EBITDA. Our earnings release includes a reconciliation of these non-GAAP measures to the most directly comparable GAAP measures and please remember that, any forward-looking statements made during today's call are subject to risks and uncertainties that are further discussed in our annual and quarterly SEC filings. Actual events and results can differ materially from those forward-looking statements and the partnership does not have undertake a duty to update any forward-looking statements. I refer you to Slide 2 and our other SEC filings for further details. Onto Slide 3, fourth quarter 2020 highlights. The partnership is yet again able to report a very good and very stable set of quarterly results. Total revenues in the fourth quarter were $69.9 million, operating income $30.4 million and net income $24.6 million. Adjusted EBITDA was $52.9 million, distributable cash flow was $28.6 million and our coverage ratio was 1.58. This is all driven by scheduled fleet utilization of 98.6% in the quarter, allowing us to maintain and pay our 22nd consecutive quarterly distribution of $0.52 per common unit. Our crew and our operations have remained materially unaffected by the COVID-19 pandemic to-date. And we've established many new procedures to do what we can to keep our colleague safe, despite the many challenges that have risen since this time last year. At the end of the quarter, the partnership had $738 million of remaining firm contracted forward revenue excluding options, up from $585 million at the end of the prior quarter. We completed the dropdown of Tove Knutsen in December without needing to issue new equity and I'll give more information on that later in the presentation. Also in December 2020, we agreed terms for sale and leaseback transaction for the Raquel Knutsen and this completed in January 2021, with a net contribution of cash to the partnership of $38 million. In the quarter, we secured new firm charter for Tordis, Vigdis and Lena vessels and again I'll give more detail shortly on that. The Windsor Knutsen was eventually redelivered to us from Shell on December 7, 2020 and subsequently we have a great commercial terms with a major oil company for a one-year fixed time charter contract for the vessel to commence in the third quarter of 2021 with further options to extend - to a further 18 months. In December 2020, the Windsor Knutsen reported a crack in its main engine block and was placed off-hire. However, we expect that our insurances will cover both the repair cost and the vast majority of the loss of hire during the period of the repair which may take as long as six months due to the manufacturing the parts, logistics and the repair itself. Loss of hire insurance is expected to provide income at approximately the level earned during the vessels prior long-term charter, expecting a 14-day deductible period under the policy which fell entirely in December 2020. Equinor did not take its next option on the Bodil Knutsen by the due date. And so, we expect that the vessel will be redelivered to us on or around April 9, 2021. Whilst the vessel has worked well for Equinor, we’re not in a position at the moment to commit to a new charter. In particular, the affect of the COVID-19 pandemic and lower oil prices haven’t helped in this regard. However, we remain in close dialogue with them and other charters and we're optimistic of finding new employment for the vessel in the near future. To Slide 4, where we set out some of the unique aspects of our business that may not always be fully appreciated, for which new investors may benefit from knowing. We're a market leader with more than 30 years of experience and investment in this business. We’re classified as a corporation for U.S. federal income tax purposes. Therefore we issue Form 1099 to report our distributions and not Form K-1. Our vessels are specialized assets with limited replacement risk. And they represent critical infrastructure required by our customers to deliver oil production from projects that have significant upfront investments, long life spans and often low marginal production costs. Most of our vessels have operational flexibility, and a capable of servicing many different fields. There are high barriers to entry due to the specialist nature of our vessels. The additional capital costs required, technical specification and crew training required over and above a conventional tanker. We have a diverse set of financially strong contractual counterparties. Our contracts are fixed rate and typically one to seven years. And once in operation, they do not dependent on oil price fluctuations, and it's our customers that bear the risk of vessel utilization and operational fuel costs. Our management strategy remains to operate the business with a focus on long-term stability as far as possible, and providing our unitholders with an attractive distribution. We have diversified revenue streams meaning, we are not disproportionately dependent on any single contract. Our debt repayment profile means we are paying down around $90 million each year. And we have access to attractive debt finance through a wide portfolio of lenders. On Slide 5 the income statement, where I will highlight just a few relevant points. For the fourth quarter of 2020, we recorded total revenues of $69.9 million, which is slightly better than quarter three, mainly due to the off-hire of the Windsor Knutsen in December. Vessel operating expenses for the fourth quarter were slightly better than the third quarter, but much of that relates to timing across the fleet and full year costs were materially on budget despite higher crew costs as a result of the COVID-19 pandemic. Depreciation held steady and on track and general and admin costs rose slightly due to transactional activity in the fourth quarter. Interest expense for quarter four was $6.1 million, a further decrease from the prior quarter again, driven by lower LIBOR across on average across all our credit facilities that are not hedged. On Slide 6, adjusted EBITDA, adjusting for some of the non-cash volatility that comes into the income statement, we are able to report another consistent adjusted EBITDA of $52.9 million, down only slightly from $53.3 million in the second quarter. Slide 7, distributable cash flow or DCF was $28.6 million in the fourth quarter and the distribution cover at the end of the quarter showed a modest decrease to 1.58 from 1.60. And we again maintained our distribution level at $0.52 per unit equivalent to an annual distribution of $2.08. Slide 8, balance sheet. At the end of the fourth quarter, the partnership had $73.3 million in available liquidity, which consisted of cash and cash equivalents of $52.6 million and $20.7 million of capacity under our revolving credit facilities. The revolving credit facilities mature in August 2021 and September 2023. The partnership's total interest-bearing debt outstanding at December 31, 2020 was $1.036 billion and the average margin paid on the partnership's outstanding debt in the fourth quarter was approximately 2.04% over LIBOR. As of the end of the fourth quarter, the partnership had entered into various interest rate swap agreements for a total notional amount of $516 million to hedge against the interest rate risks of its variable rate borrowings. And the quarterly received interest-based on three or six-month LIBOR and pays a weighted average interest rate of 1.88% under the interest rate swap agreements, which have an average maturity of approximately 4.3 years. Onto Slide 9, I'm pleased to give you a few more details related to the dropdown of the Tove Knutsen, the picture of the new vessel it’s on the left hand side of this page. Vessel is a 153,000-deadweight ton DP2 shuttle tanker, delivered from the shipyard on September 28, 2020, but it then sailed to Brazil and undertook series of approval test for Equinor and Petrobras as are required for Brazilian operations. It then commenced on its seven-year fixed charter to Equinor on November 27, 2020. There are further 13 years of charter’s options attached and KNOP closed the purchased from KNOT on December 31, 2020. As stated, this was financed through a combination of internal cash and debt thus being non-dilutive to our existing equity unitholders. The purchase price was $117.8 million less $93.1 million of outstanding indebtedness plus or minus other items typical at closing such as working capital and fees. We also repaid $6.9 million of the indebtedness at closing leaving an aggregate of $86.3 million outstanding of the secured credit facility related to the vessel. Given the non-dilutive nature of the financing, [the both] cash contribution for the vessel will directly assist the partnership in maintaining our distribution. From an EBITDA perspective, EBITDA contribution is expected to be less than 10% of total partnership EBITDA keeping our vessel concentration risk down. And I can say that whilst we’re satisfied with the projected from the vessel, this EBITDA contribution will be slightly lower than some of our other vessels as in return we received a seven-year commitment from the charter. Onto Slide 10 an update on our contracted revenue and charter portfolio. At the end of the quarter, we had $738 million of contracted forward revenue remaining to the partnership, an average remaining charter period of 2.9 years. Customers have options to extend these charters by a further 3.1 years on average. I've already talked about the Windsor Knutsen, but here is the situation graphically. You'll see that we currently expect to have no material gaps in the vessel's income until May 2022 at the earliest and possibly up to the end of 2023 as we expect today. Bodil, I have also covered already, but it is perhaps also worth mentioning that the vessel is currently undertaking its scheduled drydock which is going well. The work is due to complete around the end of March 2021. The Fortaleza, Recife, Carmen, Hilda, Torill, Dan Cisne, the Dan Sabia, Ingrid and Raquel, we’re all unchanged on their fixed contracts. In December 2020, as I mentioned earlier the partnership secured new three-year fixed contracts for the vessels Tordis, Vigdis, and Lena with a major oil company. The commencement of these new time charters range between May and December 2023. What is hard to show on this diagram however, is that it is the partnership's choice which of the three vessels will be put forward and used under each of the three charters. This gives us much more chartering flexibility when seeking opportunities in the intervening periods. So for example the charter that is currently showing is starting in Q2, 2023 against the Tordis Knutsen could instead be matched with the Lena Knutsen. All three charters offer fixed periods of three years. However, the third charter grants cancellation options to the charterer at the end of the first and second years with penalties payable to the partnership if exercised. We're now marketing the vessels for short to mid-term charter business in the intervening period shown between the end of the vessels current fixed charter periods in 2022 and the commencement of the above mentioned new fixed charters in 2023. And this period on average is currently estimated to be 15 months for each vessel. Finally, the Brasil and Anna are unchanged and we have covered the Tove previously already. Slide 11, our sponsor KNOT, now have six vessels that could be acquired by the MLP. These have an average fixed contract period of 5.3 years with an average of a further 7.3 years extension options. This high value list of contracts continues to demonstrate the market's trust in our management team and sponsor and shows that the market is still active. Given where our unit price is still today, we have no firm plans for acquiring another vessel at this time. However, we are beginning to consider options for later in the year to assess whether a further internally finance vessel is possible that is without relying on raising new equity. Our sponsor, KNOT, has shown flexibility in this regard and we will take a prudent approach to this issue taking into consideration the long-term stability of the business. And as always, the acquisition by KNOP of any dropdown vessels in the future would be subject to the approval of our Independent Conflicts Committee as well as the Board of Directors of each of KNOP and the sponsored KNOT. Slide 12, the next couple of slides are to give a little wider context to our business. Our vessels are integral to the long-term offshore producing assets of our customers. These projects have significant upfront costs to construct and initiate. However, thereafter marginal production costs tend to be low and field life is typically measured in decades. Our shuttle tankers are critical infrastructure without which production cannot continue. And shuttle tankers - shuttle tanker charters are typically only a small component of customers’ field operating costs. For new build vessels firm charter periods are typically five to seven years and the fixed charter rate is not impacted by our customers’ utilization of the vessel, provided the vessel is fully functioning and made available, the fixed rate applies. Also voyage expenses are a charterer’s cost and this includes all fuel while the vessel is on hire. We don't have any direct exposure to the price of oil and you can see our list of customers are some of the biggest names. On Slide 13, the total global fleet of shuttle tankers today is 75; if you consider that there are over 800 VLCCs a, very large crude carriers in the world and some up to 90,000 commercial ships. This is in part why we say shuttle tankers are a niche business. There are two main geographies broadly 29 vessels operate in the North Sea, Barents Sea and 37 in offshore Brazil. A few operate in Canada and West Africa, but they're not significant in fleet terms. I also set out on this slide some of the characteristics of the two main markets, such as high operational standards and the types of contract that are most prevalent. Onto Slide 14, this is designed to demonstrate why we are confident about demand and growth in the shuttle tanker market in the coming years and why we think our business has a strong long-term outlook. The main takeaway is that we expect start-ups to outpace declines and with very competitive production and lifting costs we see both Brazil and the North Sea as not only staying in the game so to speak for many years to come, but actually growing. The impact of the COVID-19 pandemic has slightly flattened the growth curve in 2021 and maybe into 2022, through project delays. But growth is still expected and oil is perhaps rebounding faster today than was predicted even just a few months ago meaning growth may yet come back sooner than we anticipate. This is also not withstanding the energy transition and significant forecast growth in other forms of renewable energy, whether we reach peak oil around 2030 or not, oil is not about to leave as quickly even after this date. In acknowledgment of this, we are already taking many actions to reduce our own environmental impact and we're working to be among the best in the global shipping industry in terms of minimizing our impact and operating with the high standards and quality. You can read more on this in our latest ESG report covering 2019 which you can find on our website and we hope to have our 2020 report completed soon. Slide 15, so to begin to wrap up, our near-term priorities for the next one or two quarters are as follows. To continue to operate our vessels, safely and efficiently and to ensure, the health and safety of our crew and employees, it goes without saying. Continue to progress discussions with our lenders for refinancings that are due in August and November 2021. Secure new charter contracts for the Bodil Knutsen. My discussions are already ongoing and management are confident in the prospects for the vessel. Complete the Bodil’s drydock on time and on budget. Begin to consider options and possibilities for a further internally finance dropdown later in 2021, and continue ongoing close dialogue with our customers concerning operations and chartering and rechartering options and opportunities. Slide 16 closing with a brief summary. Another strong and stable operational quarter with 98.6% utilization for scheduled operations. Distributable cash flow of $28.6 million with coverage of 1.58% and $73.3 million in available liquidity which continues to give the partnership a degree of flexibility to manage any short to mid-term headwinds. We maintained our quarterly distribution of $0.52 for the 22nd consecutive quarter. We completed the dropdown of the Tove Knutsen in December without needing to issue new dilutive equity. We had $738 million of remaining contracted forward revenue excluding options at the end of the quarter up from $595 million and the partnership's operations are not exposed to short-term fluctuations in oil prices, the volume of oil transported or global oil storage capacity. Oil production in Brazil and the North Sea from shuttle tanker serviced fields is expected to grow significantly in the coming years. And we remain confident that the partnership is experienced enough to navigate through any short-term market uncertainty and that the shuttle tanker markets fundamentals and growth prospects remain strong and very supportive over the mid to long-term. Thank you very much for listening and that concludes the formal presentation. And I'll be happy to take any questions.
Operator: [Operator Instructions] The first question comes from Liam Burke with B. Riley. Please go ahead.
Liam Burke: On the Bodil Knutsen, as it comes off a drydock, would you anticipated operating in the short-term charter market or are you confident that you can secure a longer term charter?
Gary Chapman: I think - at this moment Liam. We're looking at all options and that also includes the contract to the affreightment market in the North Sea which is actually the more prevalent contract type in the North Sea. We obviously have all time charters and [Bodil] charters at the moment, but the North Sea does tend to favor contract to the affreightment normally. So to answer your question, we're actually looking at all of them and clearly we've got a preference for a long-term charter and sometimes they can take a little bit longer to negotiate and close in which case we'd be comfortable taking short-term charters in the meantime, but yes we're targeting long-term. But we're not concerned if we also have to take short-term.
Liam Burke: So in that bridge period between the period of time where you're under short-term contract and so you secure another long-term charter. You're comfortable, but generally the contribution of the vessel will be fairly consistent?
Gary Chapman: I think that's hard to say right now. I think it would be unfair if I said there's going to be full utilization of that vessel in 2021. And I think that's probably unrealistic to say that. I think probably what I can say is that looking at the maths and taking all the moving pieces into account, not just Bodil, an absence something catastrophic. I think based on what we see today we think 2021 is looking okay and stronger oil prices will really help our customers to make commitments on their tonnage. So I think, we're looking at our business in the round and while Bodil is in a challenging position as we sit here today we're optimistic about it. And as a business as a whole across our entire fleet as I say, we think 2021 is looking okay based on what we see today.
Liam Burke: Great. And obviously the - you’ve got the current debt due, it’s nothing new, you've got as you mentioned earlier in your prepared comments options on the lending side. Is there anything different this year than in the past, when you've had to refinance current debt?
Gary Chapman: No, I would say not. The indications in the early discussions we've had with our typical lending group, which is quite broad. No particular new issues are coming out of that for us. And early indications are good. It's progressing. And we obviously will hope to have something more to report as soon as we can. And we'd like to get that closed as early as we can to put that to bed.
Operator: The next question comes from Igor Levi with BTIG. Please go ahead.
Igor Levi: This appears to be the first time I've seen where you guys are using cash on hand as opposed to issuing equity to take a dropdown. So, I was hoping you could talk about the upcoming drop downs in the pipeline and how you guys are thinking about the decision to either issue new equity versus use cash on hand?
Gary Chapman: Yes hi, Igor. Thank you for that. I think it's not a secret. We want to maintain the pre-existing methodologies that we've used in this MLP over the years. And the unit prices, is not there for us right now and equity markets is too expensive, but it's still our preference. And I think, we've seen an upturn in our unit price just recently which has helped. But it's certainly not got us over the line at this stage. I think absent that equity we will look to replicate what we've done on the Tove Knutsen in December. I think for us that's not something where we can pick up all of the six vessels that are in the pipeline. I think that's unrealistic, because we will always face a situation of leverage. But in this year for 2021 our first focus is on our refinancing. And then, also secondly making sure that we maintain a sensible leverage and I think that may allow us later in the year - late in the year to maybe replicate what we've done with the Tove Knutsen. But at this stage whilst there are more in the pipeline it's not something that we can easily do more than probably one vessel in 2021.
Igor Levi: Okay. And how are you comfortable drawing down your cash on hand?
Gary Chapman: Well, we obviously have covenants in our loan agreements, which we're very comfortable with at the moment. I think where we are today, we've got very good liquidity. I don't think, there's a specific number that I have to hand to give to you. But the covenants in our loan agreements are very, very comfortable right now. We've got very good liquidity for the business and to see us through. I think I'd rather give you a non-quantitative answer and just say we will let our cash flow drop to a point where we still remain comfortable. It's something that has been a hallmark of this business since it IPO back in 2013, that it's been run on a fairly conservative basis to try and maintain that stability. And that's really - it goes to the heart of everything that we try to do.
Operator: The next question comes from Jim Altschul with Aviation Advisory Service. Please go ahead.
Jim Altschul: Thanks for taking my question or questions. A couple of things, first of all, the sale leaseback of the Raquel Knutsen, if that actually - I know you said that in the Slide 3 that the funds were realized in the first quarter. But I was under the impression that the actual transaction closed at the end of December. But if you look at the balance sheet, I don't see a change in lease liabilities or the corresponding assets figure. Please explain?
Gary Chapman: Yes, I mean the accounting it's following where we were and obviously we've had discussions with our auditors about this, but the arrangements in December were to enter into it. And then we entered into it in January.
Jim Altschul: Okay.
Gary Chapman: And the accounting rules allowed us to therefore book it in January. To be honest, Jim, there's no deliberate accounting going on there. It’s just what happened. We didn't deliberately keep it out of our December numbers. This is just how - it happened to fall.
Jim Altschul: Okay. I don't mean to imply anything improper just…
Gary Chapman: No, no, no. That's fine.
Jim Altschul: So I'm assuming - when we see the March 31 balance sheet, we will see an increase in lease liabilities and the right of use assets?
Gary Chapman: Yes, the disclosures will come in the Q1 numbers.
Jim Altschul: Okay. And talking about the refinancing of the debt facilities that you have coming due later this year, are those facilities floating or fixed?
Gary Chapman: The facilities themselves are floating and then we separately have interest rate swaps against proportions of the debt.
Jim Altschul: Well I'm assuming that - when you - I don’t know when you entered into those arrangements, but interest rates were somewhat higher than they are today. Do you anticipate - I mean I don't know how this whether you get the same spread on the float on the underlying floating rate liability? But do you anticipate that because of the general decline in interest rates you may be able to achieve some savings through the refinancing? I mean obviously there are a lot of moving parts that go into it - it’s a few months away from closing a deal, but…?
Gary Chapman: Yes, I mean I think, we anticipate similar or paying similar margins on our debt. And then underlying that it is obviously floating LIBOR. So, to the extent that that's lower then, yes. The total cost of our new debt may be lower than the total cost of our existing debt. But to get to that answer you have to take into account the swaps that we've got. So, I think you've seen over the last few quarters that our interest expense has come down because we don't swap out and fix a 100% of our debt today. So, we've taken advantage of the falling interest rates over the last several quarters. And so, I think when we look at the refinance we'll also look at our hedged position as well. And if we hedge less or if our hedging position changes as a result of that refinancing then we may be able to carve out some extra benefit.
Operator: [Operator Instructions] The next question comes from Ted Lou with Valley Financial Group. Please go ahead.
Ted Lou: I just wondered if Shell has any liability with regards to the Windsor?
Gary Chapman: Hi, Ted. The short answer is no. We were - it’s a time charter contract so we had our own crew onboard and that crew was taking instructions from Shell as to how to operate the vessel where to go et cetera. But in actual fact it's our responsibility to provide a vessel in working order and under crew. So the short answer is no which is why we are claiming on our insurance.
Ted Lou: Roger, thank you very much.
Gary Chapman: No problem. Thank you.
Operator: The last question comes from Robert Silvera with R.E. Silvera & Associates. Please go ahead.
Robert Silvera: Thank you for taking my call, Gary. In relation to the drop downs that you've just done with the Tove acquisition and future ones, I'm trying to get a feeling for it. The Tove when it was brand new purchased by the parent. How much was that ship did it cost?
Gary Chapman: I'm not sure I can give you that information Robert, because it's obviously a private contract between our sponsor and the yard. And also there are various numbers in there that relate to the confidential contracts as well.
Robert Silvera: Can you give a general figure as to the type of ship and those kinds of Can you give a general figure as to the type of ship and those kinds of what kind of numbers take place for that type of ship? I mean you must have a feel for that even though it's not specific to that contract.
Gary Chapman: Yes. I mean I think it completely depends on the specification of the ship obviously and the equipment on - it's very difficult to say this ship should have been 115 and that ship should have been, because actually unless you understand the specifications you don't know the starting point. But if I was - as a starting point as sort of basic ship you might be looking at a $100 million without any pre-delivery finance without any equipment onboard without any costs of transactional costs. That's the sort of starting point in today's market for a shuttle tanker. That's I would describe it as basic.
Robert Silvera: Okay. Well I'm trying to get a feel because obviously the ship was used by the parent for a while right?
Gary Chapman: Just for a month, yes.
Robert Silvera: Oh, one month. I didn't realize that we're getting basically a brand new ship for 100 - basically a $118 million. Okay…
Gary Chapman: Correct.
Robert Silvera: That better explains it. I'm trying to get a feel for future drop downs and what they might be in the neighborhood of and that answers that. Okay. We've got about $730 million in booked sales contract sales with about $1.2 billion in debt round numbers. How do you see us matching up to the - to covering the debt, do you see it with no problem. It's going to be relatively easy or do you think the competition with what’s going on is going to make that kind of difficult.
Gary Chapman: I think the average age of our fleet is seven years and we expect our vessels today to operate until 25 years. So although we've only in inverted commas got $738 million of forward revenue, we've got many years left of life in the fleet. And I think whilst COVID has potentially pushed back a little bit of growth anywhere 12 months, 18 months, 24 months maybe and you can argue where that line starts and stops. But although it's pushed it back, we've got very strong forecasts for demand growth for shuttle tankers over the next 10 years as I’ve showed on the graph.
Robert Silvera: Right.
Gary Chapman: So in actual fact, we are very optimistic about not only closing that gap but also far exceeding it.
Robert Silvera: Good. I know because we are a well-run company and the customers, large customers we have are obviously satisfied with us. You have a 1.58 coverage, have you given any thought to accelerating debt repayment which makes borrowing easier in the future et cetera? And from what I've seen from some VLCC companies, they have aggressively when rates were higher than the earlier part of 2020 aggressively went after extra debt payments and it made their balance sheets really shine and the price of the stock began to move up Balance sheets really shine and price of the stock began to move up nicely as well? So I was curious are you anticipating any possibility that you might go more aggressively toward debt?
Gary Chapman: I think the short answer is, no. I think we're paying down faster than a straight line basis today around $90 million. And that brings our EBITDA leverage down at a pace. So I think we don't need to do that. And I think in terms of leverage itself, we look at our cash flow. We don't get hung up by sort of arbitrary rules of thumb if you like and we're interested in what - what's the sensible leverage for the business. And I think that's the most financially efficient way to do it.
Robert Silvera: Okay. Do you see the acquisition - the total acquisition as a creative or simply as replacement for ships that might disappear in the future?
Gary Chapman: No, I don't think any of our ships are about to disappear. So Yes I would definitely describe it as cash accretive to the business, because again we haven't had to issue any new equity in order to do it. And the cost of debt is quite low. So Yes I'd say it's definitely cash accretive to the business.
Robert Silvera: Okay. Then being cash accretive in building cash, I haven't heard any indication that you want to change the dividend to a higher dividend and you don't want to accelerate debt. What do you anticipate using the buildup of accretive cash the use for it?
Gary Chapman: I think when you look at our cash profile over the last few quarters, I mean it's very healthy. It hasn't grown substantially. And we pay out a very healthy yield at the moment. We pay off a lot of debt. And we also need we're conscious as an MLP. Our secondary objective is to grow the business. So I think in the current climate, I don't think it's right for us to increase the distribution. That's not to say we wouldn't in the future but given the short term headwinds that we've got principally because of COVID and lower oil prices and some of the growth being pushed to the right, lack of access to equity, new equities is something that we have to just all bear in mind as a whole picture. And I think whilst having a very prudent outlook and a healthy cash balance, I think is what will see us through this sort of next few quarters.
Robert Silvera: Okay. Well I'm very glad that you did it without the issue of any equity. I was very pleased by that decision on your board's part and your part. And thank you very much Gary for doing a good job. I really enjoy the dividends and I look forward to the business growing by your accretive acquisition of Tove Knutsen. Thank you.
Operator: This concludes our question-and-answer session. I would like to turn the conference back over to Gary Chapman for any closing remarks.
Gary Chapman: Thank you very much and thank you everybody for listening. And if - please do reach out to us if you have any further questions otherwise have a good day.
Operator: The conference has now concluded. Thank you for attending today's presentation. You may now disconnect.